Operator: Good morning. My name is Darryl and I will be your conference operator today. At this time, I would like to welcome everyone to the Better Choice Company Fourth Quarter and Full Year 2021 Earnings Conference Call. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, today’s call is being recorded. I would now like to turn the call over to Mr. Rob Sauermann, Executive Vice President of Strategy. Thank you. You may begin.
Robert Sauermann: Thank you, operator. Welcome everyone to Better Choice’s fourth quarter and full year earnings conference call. This morning, we issued our fourth quarter and full year 2021 financial results press release and posted our update earnings presentation under the IR section of our website, which we will be discussing today. I’m joined by Scott Lerner, our CEO; Sharla Cook, our CFO; and Donald Young, our Executive Vice President of Sales. Before we begin, please remember that during the course of this call, we may make forward-looking statements within the meaning of the Federal Securities Laws. These statements are based on management’s current expectations and beliefs, and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to the company’s annual report on Form 10-K filed with the Securities and Exchange Commission and the company’s press release issued on Tuesday, March 29, 2022, for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note that on today’s call management will refer to certain non-GAAP financial measures such as gross revenue, EBITDA, and adjusted EBITDA. Although, the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or the substitute for the financial information presented in accordance with GAAP. Please refer to our press release and presentation issued on March 29, 2022 for a reconciliation of the non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. With that, let me hand it over to Scott.
Scott Lerner: 2021 was my first full year as CEO of Better Choice and I'm incredibly proud of the progress we have made. This past year our focus was all about positioning us for a breakout year in 2022 and we set three goals to get there; building a best in class team, creating an industry leading innovation pipeline, and developing a go-to-market approach anchored by leading channel partnerships. Since I joined we brought Halo Elevate from initial concept to the store shelves in under 12 months, developed a robust three-year innovation pipeline which includes the rebranding of our existing Halo holistic products and the integration of the TruDog brand underneath the Halo umbrella. Onboarded two new co-manufacturing partners to secure significant incremental production capacity and raised $40 million of proceeds with the goal of achieving $100 million of gross sales in 2023.  On the sales side we secured anchor partnerships with Petco, Pet Supplies Plus, and Phillips for the national launch of Halo Elevate which gives us distribution in more than 2000 pet specialty stores by mid-2022. In addition Halo Holistic has continued to see strong growth in Amazon point of sales, up to 15% [ph] in Q4 2021 for reference and we're very excited to expand our partnership with Chewy this year in a big way. Internationally we continue to over deliver against $100 million in contracted minimum revenues from 2021 to 2025 active minimum revenues from 2021 to 2025 and expect rapid growth in this channel to continue.  I am also proud to announce the official launch of our new Halo direct to consumer website which went live last Tuesday and showcases the new look and feel of the Halo brand. The fourth quarter of 2021 was strong for Better Choice and represents the last quarter before launch of Halo Elevate. Despite unprecedented supply chain disruptions felt across the consumer packaged goods industry, we're able to deliver 18% quarterly net sales growth driven by record international sales and continued growth in our e-commerce channel. For the full year 2021 we generated approximately 56 million in gross sales, an increase of roughly 7% relative to 2020. That said we estimate supply constraints and out of stock negatively impacted our full year sales figure by about 6 million, predominantly felt in e-commerce.  Even with the out of stocks in mind, our supply chain and logistics team did a fantastic job navigating macroeconomic pressures to satisfy our growing customer demand and pivoted when needed with one goal in mind to keep our product on the shelf for our loyal and growing end-consumer base. Although safety stocks held by our customers particularly Amazon and Chewy were reduced in Q4 2021 and are reflected in our net sales, we were still able to satisfy most of the end consumer demand which we view as critical to maintaining repeat purchase behavior and driving sales in 2022.  All these achievements wouldn't be possible without our incredible team. This year we added nearly 20 new team members with a wealth of experience from both inside and outside the pet food industry. With individuals from Amazon, Crate & Barrel, Mars Petcare, Nestle Purina, Clif Bar, and Solid Gold joining our team. Not only is this evidence that our win from anywhere culture is working but I also think serves as validation that we're building something special at Better Choice. With every day that passes, I grow even more excited about the opportunity we have to become the most innovative premium pet food company in the world with high quality brands poised for rapid growth led by subject matter experts who can deliver results.  Our business is rooted in the Halo brand where we plan to leverage our global Omni-channel strategy to retrieve rapid growth and exceed $100 million of gross sales by 2023. Our target consumer is the millennial pet parents and our goal is enabling the purchase of Halo products wherever, whenever and however they choose. This is how many consumers now shop and it doesn't matter if they're in the United States, Asia, or any other part of the world. One day they might be at Petco, the next day on Chewy, and the next day browsing our website. So we really have to have a strong presence in our four main channels; pet specialty, e-commerce, direct to consumer, and international to drive customer loyalty.  On the flip side our Omni-channel strategy turns every consumer touchpoint into a dynamic opportunity to connect, convert, and retain customers with a consistent and immersive brand experience which we believe is the key to increasing the lifetime value of our customers. This strategy also lets us develop and sell channel specific products designed to maximize conversion and gross margin to avoid channel conflicts. One of the issues you'll find in the pet category if you try to play in every channel at once is that you see a lot of pricing competition. It can really affect both the brand as well as the retailers who are avoiding and looking to launch products build to succeed in specific channels, to prevent margin erosion across our portfolio, and most importantly speed up growth.  For example, Halo Elevate is sold exclusively within the pet specialty channel. While you won't find Elevate on Chewy or Amazon, Halo Holistic will continue to drive growth on the third party e-commerce site while maintaining an existing foothold in pet specialty particularly in the cat category. Our DTC site will carry all our Halo products from Elevate and Holistic, Kibble and Wet Foods as well as a complete line of freeze dried raw offerings that were historically sold under the TruDog brand. Today our international sales are driven by Halo Holistic but we're excited to begin to introduce Halo Elevate to new geographies later this year.  Last week our sales team spent three days at Global Pet one of the largest annual pet industry trade shows and officially unveiled the new look and feel of the Halo brand to the industry. Although it is still early, the response from customers, distributors, and suppliers have been overwhelmingly positive, which is great momentum for us as our key launch partners made significant initial purchases of Halo Elevate in Q1 2022 and are currently in the process of stocking their shelves. While these positive developments were not reflected in our 2021 financials, we've already begun to see their impact in the first quarter of 2022. We estimate that Q1 2022 gross sales will exceed 40% growth relative to Q1 2021 where we delivered $13.4 million of gross sales. To date our growth in 2022 has been driven by initial sales of Halo Elevate as well as strong Halo Holistic sales in our e-commerce and international channels. I'll let Donald, Sharla, and Rob provide a bit more information regarding the initial progress we've made but we have certainly come out the gate strong this year.  For those of you that have been following our story since our uplift to the New York Stock Exchange back in June I recommend you check out some of the new social and digital content now available on the Better Choice and Halo websites as those will be dynamic sources of information as our launch progresses this year. In addition, I would also encourage you to visit your local pet specialty store to see Halo Elevate on shelves and hear directly from a store associate about the brand we are building. So far my goldendoodle Leo has only told me good things about his lunch and dinner. Please visit our store locator on halopets.com to find a location near you. With that I'll turn it over to Donald. 
Donald Young: Thank you Scott. In 2021 we have secured three critically important anchor partnership for the national launch of Halo Elevate, Pet Supplies Plus, Petco, and now Phillips Pet Food and Supplies. As Scott mentioned this gives us distribution in more than 2000 pet specialty stores by mid-2022 with the launch occurring slightly earlier than we expected last year. Thanks to these newly formed partnership and strong initial feedback from retailers, we anticipate that Halo Elevate will now be available in more than 1500 pet stores by the end of April and in more than 2000 pet specialty stores by the end of July with incremental linear feet also secured in certain locations.  Well it kept to the expectations that we shared in November 2021, this represents a 37% increase in the total number of on shelf distribution points which accounts for both the number of total pet specialty doors and the amount of linear feet secured in each location. This increase in shelf space has been driven by four key events; number one, Petco’s decision to increase the number of stores that carry Hale Elevate to more than 1000 locations with approximately 600 of these locations allocated for 8 feet of shelf space and the remaining stores with 4 feet of shelf space. In addition, Petco has classified Halo Elevate as a best choice brand. Previously we anticipated we secured placement in 900 locations with 450 of these locations at 8 feet of space and 450 at 4 feet of space.  Number two, an increase in the total number of Pet Supplies Plus store locations from 560 in 2021 to more than 600 in 2022. As a preferred brand we expect to secure 5 feet of shelf space in all Pet Supplies Plus locations. Solidifying our independent distribution with Phillips Pet Food & Supplies gives us access to the largest number of independent pet food stores in the United States. The size of their locations, service by itself can vary but these stores often come with a fiercely loyal and dependable consumer base. And number four, securing significant dry kibble and canned wet food supply. This has allowed us to achieve a 100% fill rate for Halo Elevate. This is a huge advantage in our industry with significant out of stocks.  As I discussed on our Q3 call, our goal remains by the end of the first launch year June 2023, we will be generating a little over $200 in sales per store per week in over 2000 locations currently and growing. With the new product launch there's a significant quarter-over-quarter ramp that occurs as customers try new products, marketing efforts begin to effect, and the in store education of retail associates start to pay off. In the first year we will also run special promotions to incentivize consumer trial with the goal of attracting a high value, long term purchaser of our product. It's simple, we created Halo Elevate to deliver best in class nutrition for pet parents. Our recipes are transparent and we proudly show that on the front of our bags. Our products are formulated to directly address the top five pet health concerns that pet parents have. Halo Elevate allows pet parents to confidently upgrade the quality of their pet food without any compromises and our industry leading traceability gives pet parents confidence in what they're feeding their pets.  Halo Elevate includes 39 skews of dry and wet foods for dogs of all ages and breeds. Formulated by prominent veterinarians and nutrition experts, with a variety of recipes that are available including grain free and healthy grain choices, as well as chicken, red meat, salmon, and lamb options. With regard to our canned wet products we offer a variety of bone in, barbecue, and chunky stews designed for the highest levels of palatability and nutrition. I said it before and I'll say it again, in my 30 years in the pet food industry I have never been this excited about a product and the opportunity that lies ahead of us for growth. That said, we won't stop here. Halo Elevate was the first new launch but we will continue to innovate. Next up is our Halo Holistic line, then the expansion of Elevate into cat and finally filling out our portfolio in terms of treats and other products. With that I would now like to turn the call over to Rob to discuss our international channel in more detail. 
Robert Sauermann: Thanks Donald. As Scott mentioned earlier on the call, international was a key growth driver for us in 2021. Year-over-year international revenue for 2021 totaled 14.8 million, an increase of more than 70% relative to 2020. In Q4 we generated 3.9 million, an increase of over 227% year-over-year. We saw strong performance across our existing markets with China representing 52% of our total international sales. In part growth in the Chinese market was driven by our ability to secure additional orders following Halo’s strong performance during single day for November 11th, the largest online shopping event in the world. And consumer purchases of Halo products during this period increased more than four folds relative to the prior year driven by significant new customer acquisition and we anticipate that we'll continue to see incremental new customers join our brand in 2022.  Our international go-to-market strategy is tailored for these regions. Our target audience is the same as in the United States; the young, educated, urban dwelling to an Asian particular [indiscernible]. To put that in perspective more than 50% of our consumers that purchase Halo were born after 1990 and roughly 80% of those consumers purchase our products online. Demographics are also working in our favor as the number of health of the owner pet has doubled in the last five years, with younger pet owners leading growth. As we discussed previously, successfully executing upon our existing customer contracts should enable us to build an annual recurring Asian business north of 25 million in Halo Holistic sales alone with incremental upside possible as we look to introduce Elevate and other product lines in the future.  In addition, we are seeing near term opportunities to diversify our international sales in Australia and Latin America, where we have an opportunity to introduce both Halo Holistic and Elevate offerings. Although there has been significant global uncertainty in the first quarter of 2022, we've continued to see strong international sales in our core geographies, and constantly work with our distribution partners to mitigate potential risk. With that, I'll hand it over to Sharla to walk through the financials in more detail.
Sharla Cook: Thanks, Rob. Net sales for the fourth quarter were in line with expectations at 11 million, an increase of 1.7 million or 18%, compared to Q4 of 2020. Gross sales for the fourth quarter of 2021 totaled 13.6 million, an increase of 20% as compared to 11.4 million for the same period last year. Consistent with what we've seen throughout the year, the increase was driven by yet another record quarter-over-quarter revenue growth in international whose Q4 net sales more than doubled versus Q4 of last year. Additionally, e-commerce net sales were up over 5% in Q4 of 2021, versus the same period last year. Net sales for full year 2021 were 46 million an 8% increase versus 2020. Gross sales increased 7% to 56 million for the full year 2021 compared to 52.1 million in 2020. International sales led year-over-year growth, delivering 14.8 million of gross sales in 2021, representing a more than 70% increase as compared to 2020. And despite significant out of stocks across our canned wet portfolio, e-commerce gross sales grew 7% year-over-year, including double-digit growth with Amazon.  As we've discussed on prior calls, our top line revenue was impacted throughout 2021 by the supply shortages and labor constraints that are still being felt globally. Production delays for our canned wet food and shortages in certain key ingredients used in our dry kibble stretched our safety stocks. And while our total inventory has increased from Q3, the majority of that build is related to the launch of Halo Elevate this year. We estimate the quarter-to-date impact to revenue from out of stocks resulting from these headwinds was 4 million to 4.5 million, as our fill rates in Q4 were significantly below normal. For the full year 2021 the estimated impact of gross sales is 6 million to 6.5 million.  During the first few months of 2022 we've seen significant improvement in our fill rates as we begin to return to normal production levels on our canned wet products, which we expect to reach by the end of Q2. Additionally, consumer demand for our products remains very strong domestically and internationally. And while we're early in the launch of Halo Elevate, we're very pleased with the results thus far and are confident we can deliver on our growth goals this year. Gross margin for the fourth quarter of 2021 was 25%, a decline from 36% in Q4 2020. The decline reflects the impact of continued broad scale inflations, which significantly burden margins on our dry kibble portfolio, representing over half of our total gross sales volume during the year.  Gross margin for full year 2021 was 33% compared to 38% in 2020. We estimate the inflation related price increases from our co-manufacturers impacted Q4 margin by roughly four to five percentage points. To offset inflationary impact and increase future production capacity, we completed the transition of our domestic dry kibble production to a Minnesota based co-manufacturer in January and have already begun to realize double-digit margin improvements on these skews. We are also on track to receive approval from the Chinese Ministry of Agriculture at this new facility, which will enable us to transition the manufacturing of dry kibble bound for China by the end of Q2 and realize these same margin benefits. We continue to closely monitor pricing and in addition to the pricing action we took in Q3 of last year, we have announced a second price increase that will take effect the first week of April.  As it relates to our DTC channel, fourth quarter net sales declined 13% versus Q4 of 2020 driven by declines in repeat purchasers and software customer acquisition and retention. We've made strong progress towards the migration of our DTC brand -- into Halo and successfully launched our new Halo DTC website last week. As we complete the brand migrations, we will continue to offer the remaining TruDog inventory on the legacy DTC platform. Additionally, we continue to focus marketing investments on our longer-term DTC strategies, rather than chasing short-term revenue gains.  Brick and mortar net sales for the fourth quarter declined around 40% versus Q4 of 2020. This decline was expected and strategic as we continue to shift away from food drug mass and execute the Halo Elevate launch on a large scale within pet specialty. Net loss for the fourth quarter was 5.1 million. After adjusting for non-cash and non-recurring charges, adjusted EBITDA for the fourth quarter was negative 3 million and reflects the inflationary impacts we just discussed, along with incremental investment in upfront marketing costs to ensure a successful Halo Elevate launch, incremental investment in our international business, and the addition of new team members to support growth. Net income for full year 2021 was 3.4 million and adjusted EBITDA for 2021 was negative 7.1 million.  As we close out the first quarter of 2022, we anticipate top line sales growth will exceed 40% as compared to Q1 of 2021 well above expectations for the quarter. We have already begun to see meaningful improvement in our gross margins as we realize the benefits of our new co-manufacturer relationships and pricing strategy. The macro economic environment has remained volatile and could impact costs in the future. However, we will continuously monitor and adjust our pricing strategy as necessary, as well as leverage our innovation pipeline for future margin expansion. As referenced, we've also provided a detailed reconciliation of Q4 and full year EBITDA and adjusted EBITDA. On the balance sheet, we ended the year with 28.9 million in cash and cash equivalents and restricted cash, reflecting an increase in inventory ahead of our pet specialty launch. With that, I will turn it back over to Scott.
Scott Lerner: Thank you, Sharla and thank you again to everyone that has joined our earnings call today. Now that we have officially put a bow on 2021, I'm incredibly excited for what we hope will be a breakout year in 2022 with the new and improved Halo brand. Our goal remains $100 million of gross sales by 2023 and we feel strongly that we have the team, strategy, and retail partnerships to get us there. Now I'd like to open up the call for questions. Operator, please.
Operator: Thank you. [Operator Instructions]. Our first question come from the line of Mike Baker with D.A. Davidson. Please proceed with your questions.
Michael Baker: Okay, thanks, guys. So encouraging that you're still planning on $100 million in gross sales by 2023 versus I guess 56 million this year, that's a pretty big ramp over the next two years. How should we think about that, broken down between growth this year and then growth next year, how does that ramp from 56 million to 100 million?
Scott Lerner: Yeah, first Mike, thanks for jumping on this morning. Appreciate it. I'll quickly chime in here and then I'd love Rob to follow up. Q1 as you have seen in the release, we're expecting growth over 40% versus a year ago. So you can imagine we're off to a good start in 2022 in terms of all the plans that we've put in place. Since we IPO, we're hitting on all the milestones. So the strategic plan in order to get the $100 million is in full effect and we haven't seen anything that swayed us from that path. I'll let Rob talk a little bit more in terms of how we look at 2022 versus bridging into 2023. 
Robert Sauermann: Perfect, thanks, Scott. So the 40% gross number that Scott just mentioned for Q1 translates if you look at our the number we're copying against, close to call it 19 million in Q1 2022 sales, just run rating that. You're looking at sort of the mid to high, the mid-70s. And if you look at 56 million up to 100 million, that's sort of right in a linear progression as we grow into 2023. So we feel like we're right on track. The Elevate launch is going well and we're seeing the numbers we're excited about.
Scott Lerner: Yeah, I might mention one thing Mike, in terms of Q1 this isn't just sort of pipeline sale or pulling pipeline from Q2 into Q1. We're seeing incremental growth on our e-commerce platforms with existing Halo Holistic brands. And once we've gotten our in stocks to a better place, we're seeing increasing sales as well. 
Michael Baker: Okay, makes sense. And then if I could ask on the margin side, margins obviously a tough environment out there. I think Scott, you'd said on the last call, that you expect to get back to a 40% gross margin run rate by the end of 2022. Is that outlook changed at all, what was some of the inflation that we're seeing? 
Scott Lerner: No, and I'll let Sharla add to this. She mentioned on the call, we have a price increase taking effect on April 1st, which is going to help us sort of readjust our margin profile. In addition, once we get our China production switched over to our new manufacturer, we're going to realize pretty significant gross margin gain as well. So I'd say overall, we feel really good about getting back to that type of gross margin level. And certainly we're starting to realize that some of that in 2022. Sharla, if you have anything to add there.
Sharla Cook: Yeah, just real quick, I'd say I mean, I mentioned this in my prepared remarks. Even just looking at our Q1 margins, we're already seeing the substantial improvement that we did expect. And as Scott mentioned, the last kind of piece from a cost side is getting the China production moved over to the new manufacturer. So we're seeing the improvement we expected. Of course, macroeconomic environments are volatile but we have done a really good job of managing that. So I think, to Scott's point, by the end of the year, we're going to be a lot closer to that 40% run rate.
Michael Baker: Okay. Makes sense. One more, if I could just to clarify this, so any -- well, first of all, any KPIs rate, interesting things you can tell us about the launch in Elevate, what you're seeing from your retail partners, it sounds like it's going at least as well as expected given the increase in shelf space and I think a specific question, Pet Supplies Plus, you said 5 feet, I think last quarter, you said 4 feet. So can we presume that is an increase in baseline, positive initial trends?
Scott Lerner: Absolutely. And I'm going to let Donald chime in here in a second. But I just want to reiterate, we came off from Global Pet from last week and the feedback around the whole brand, not just Halo Elevate but the redesign of Halo Holistic and our overall transition of TruDog in a Halo has been received tremendously from retailers, from consumers. And, I think at this time, like we can finally be super excited about what we got going into market because 2021 was really about positioning ourselves for rapid growth this year and sort of buoying us into 2023. But we've sort of increased our expectations, I would say in terms of retail footprint, whatnot coming into this year, and I would love Donald to just expand on that a little bit.
Donald Young: Thanks so much Scott. Yeah, again Mike can we go back and just talk about, again, the excitement you create when you build a new brand. And as we've started, really our launch of Pet Supplies Plus really kicks off in April and Petco comes in a little bit later. But we had current stores already that sold Elevate or Holistic, and we switched them over. But the exciting part already is it comes down to trial. So we have a partner right here in my hometown that we can very confidently say we've given away a lot of bags already. We've not had a single bag return so it tells you immediately it's under KPI tells the belly. We knew whenever in doubt, we knew it's an amazing food, we knew it was different than everything else when it comes to nutrition point of view. So once we get that first trial again as customers come back for example, we had a customer walk in that bought a 3-pound bag, five days later he walked in and bought four bags. That's the magic you really see when you start again, when you're building the brand, your credit excitement and do gain acts of recommendation. We have a unique story. Scott's mission again become the most innovative premium pet food company is what we've done. We've talked about those pillars over and over again. There's no one in the industry that stacks up against our nutritional profile and as far as specified, excuse me as far as Pet Supplies Plus, yes again what we originally talked we always know we had a foot of wet space. They've expanded again the dry from three to four so now we have five feet of space in all of their stores and we're very excited about that. 
Scott Lerner: And just one more thing to add Mike, obviously Elevate is a huge growth lever for this year, but our international footprint is just really expanding quickly. And when we go to the Q1 call in a couple months or two here, you'll see the expansion there in terms of what we've gotten going. So the Halo Holistic brand continues to grow internationally and really match up with our mission to become the most innovative meat pet food company in the world.
Michael Baker: Perfect, appreciate it. Thank you.
Operator: Thank you. Our next question is coming from the line of George Kelly with ROTH Capital Partners. Please proceed with your question.
George Kelly: Hey, everybody. Thanks for taking my questions. So first, just to follow up on the last question, curious -- congrats on getting more space with these key retail partners. And I was just curious, like what gave them confidence before really selling a lot of products, why did they increase the aisle space, were they running tests in a select number of stores, or what led them to boost your presence?
Scott Lerner: Sure. So when we first brought the proposition of Halo Elevate to our retail partners, I think they were extremely excited about the food first and foremost, in terms of the nutritional profile, the recipes that Donald Ryan created. Once they actually saw in their animals and friend’s animals start to feed the food and the results there in terms of palatability and overall performance, it got them really excited about the proposition. And when they saw those Halo Elevate bags live George, and more importantly, saw them in their planogram and how they pop and just create a huge billboard effect, that really got them excited. Whereas they said, hey, let's go add it in some more stores, maybe a little bit more square footage here or there. So it really was just about getting the thing in their hands and in their stores and generating that excitement. And then lastly, just my fantastic sales team led by Donald, the partnerships that they have, and the trust that our retail partners have with us from a sales team perspective, and then just our overall team, right. Like we were down in Orlando with Pet Supplies Plus with their district team leaders, and they're all the way up to the CEO. We're constantly meeting with Petco and Phillips. And so that's just how we roll. We partner with our retailers, and they want to grow with us. So it's no like magic formula to be honest. It's just a general excitement in terms of what they're seeing, and more so just sort of the proof is in the pudding now.
George Kelly: That's excellent. That's excellent. And then same topic, but slightly different question is, you said in the press release, I believe that you anticipate sort of boosting your initial advertising campaign or ad spending around the brand in the first half of this year. Just curious what that's going to look like, is it mostly digital spending, in store kind of promotions, or like what are you going to do to really get out there?
Scott Lerner: Absolutely happy to answer that. And I also want to just make sure, I just like to reiterate it. This isn't all about Halo Elevate, right. We have an interesting business from Halo Holistic and then our TruDog business that we're pulling into Halo that we continue to support and that will always be part of our growth plan moving forward. So we're going to see an acceleration in terms of our marketing efforts, call it in the back half of the year, June-July timeframe once the full Petco store reset happens. You'll see a really exciting campaign driven around some video executions that will be used in the digital environment, whether it be on paid social banners connected to TV, we have a full media plan that will be rolling out to support the launch of not only Halo Elevate but the rebrand of Halo Holistic.  So it's a combination of performance marketing on our DTC side in terms of acquiring customers and building long lifetime value with that millennial parent and then providing awareness in a general sense for the brand. And then really tying that back into what Donald does well, extremely well and has done with Nutro and Merrick is to provide that in store support, not only from a marketing perspective, but education at the store associate level. And I have to tell you, I think my sales team is going to be on the road probably every day from now until, I don't know now to maybe 2024, educating store associates and really driving that active recommendation in store. So that's really the plan George, it’s in store and it's out of store. And I just would add that this isn't things that we're just sort of shooting in the dark because we've done this two times over with Nutro and Merrick. The majority of my team comes from those brands, as well as other successful brands in the past here. So we have a really solid plan. We're excited about it, our retail partners are excited, and just again, the initial feedback we've gotten on the Halo Elevate product brand, even I urge you to go check out our Halo Pets website. It's super dynamic, super exciting and we're just going to bring a lot of energy to the industry.
George Kelly: Very cool. And then a few modeling related questions. If we could go back, one of the earlier questions was about the quarterly progression and how you're going to get to that 100 million in 2023. And, Rob, I think it was you that you come into just about annualizing, the first quarter number, and that kind of getting you approximately halfway there. Why would we annualize the first quarter, I mean, shouldn't it build from first quarter and is there any kind of win in DTC that's going to be a little weak this year and kind of offset some of these gains or should there be a sequential build throughout the year?
Scott Lerner: I think, because we, George, just to be clear, because we're not going to be giving guidance for 2022 and we're not really planning on giving guidance for Q2 and Q3. I really just use that as a tool to kind of show that we're expecting to see that business really expand up to 100 million, and we're starting to put real points on the board, in terms of getting there. So, I think you're right and that as we get picked up as our same store as our sales increase at pet specialty locations sure, you can see growth there. But, we're just not going to be giving incremental quarter-over-quarter guidance. 
George Kelly: Okay, fair enough. And then last question for me, back to gross margin. When is the Chinese business, when is that manufacturing switch happening? And then secondly, how big was the pricing or how big is the pricing that you're taking on April 1st? And that's all I had. Thank you very much.
Scott Lerner: Rob, you can take that. 
Robert Sauermann: Sure. I'll take that. So the switch to our new coming infra [ph] for China is occurring at the end of Q2. We're going to have some simultaneous production, just to meet demand but that's very much occurring in Q2. And then with regards to the margin and the price increase magnitude, I'll pass it over to Sharla.
Sharla Cook: Sure. So across the various channels, the average price increase is roughly 7% to 10%. It kind of varies through channels but that's the average across and it's a 7 to 10, I think an 8% to 9% good place to use. 
George Kelly: Thank you. 
Operator: Thank you. Our next question has come from the line of Jim McIlree with Dawson James. Please proceed with your questions.
James McIlree: Thank you and good morning. I'd like to understand a little bit better the inventory fill that you're going to be experiencing for the year, is it correct to assume that the biggest impacts will be in the first half? And can you kind of give us a range for how much inventory fills account for the Q1 increase or the Q1 dollar amount in sales? 
Scott Lerner: Yeah, absolutely. Thanks for joining us this morning. Sharla, do you want to take this one?
Sharla Cook: Sure. I guess let me just make sure I understand that question. On the Q1 quarter-over-quarter sales beat your question is how much of that is kind of related to ISOs with the launch?
James McIlree: Yeah, that's a fair way to put it. Yes.
Sharla Cook: Okay. So I'm not going to kind of carve out customer by customer revenue. I will say we are, Donald mentioned this in his prepared remarks, we are launching in Petco seasonal aisle across their locations here in Q2. So you're seeing some of those shipments in Q1. Same with Pet Supplies Plus, so there's definitely some stocking orders in Q1 that's helping that process obviously plan. And, we do expect to continue to get incremental orders throughout the years -- throughout the year with those customers and have them reset as well later in the back half of the year.
James McIlree: Okay, I think I get it. And secondly, on inflation overall, I'm trying to figure out if you guys are playing catch up or you are ahead of it. So obviously, you're facing price increases, but so are the guys you're buying from -- are we just playing hopscotch right now with this?
Scott Lerner: No, and I think we've mentioned this in the past, specifically, as it relates to Halo Elevate, we were building these formulations already in sort of a high inflationary period in terms of commodity costs. So we designed them to hit margins that were acceptable to the business. And, we may be seeing some slight increases here or there in terms of commodities. But overall, the product line was built based on where we're at in the market. And, over the summer, we took a price increase and then we have another one coming up here, April 1st as well, more so on the rest of the business is more than Halo Elevate. So, I'd say between our move to our new manufacturer, where we've also contracted out the majority of our commodity inputs over a longer period of time versus where we were previously, and the design and Halo Elevate in this inflationary timeframe, as well as the price increases have put us in a pretty proactive place if we would add. So I don't think we're playing catch up. I think we're in a good spot. And as any pricing comes down in the market in terms of input costs, I think that's where we're excited that we can realize even some greater margin gains. So I think we're in a good spot, all things considered.
James McIlree: Okay, great. Thank you. That's it for me. Thanks a lot.
Scott Lerner: Awesome. Thank you so much.
Operator: Thank you. [Operator Instructions]. There are no further questions at this time. I would like to turn the call back over to management for any closing comments.
Scott Lerner: Thank you. We'd like to thank everyone for joining us this morning. I think you can tell from the call that we're at an exciting point in our business journey with Better Choice. All the things that we again outline during the IPO process back in June are coming to fruition. We're seeing strong results in market. We're seeing tremendous feedback from retail partners, consumers, and investors alike. Things are looking up for the Better Choice company. My team is extremely pumped about where we're going and we're excited to talk to you again in a month or two in terms of our Q1 results. 
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.